Operator: Greetings, and welcome to the Uranium Resources, Inc. Second Quarter 2013 Update. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Craig Mychajluk, Investor Relations for Uranium Resources, Inc. Thank you, Mr. Mychajluk. You may now begin.
Craig Mychajluk - Investor Relations: Hey, thank you and good morning, everyone. We certainly appreciate your time today and your interest in Uranium Resources. On the call, I have with me President and CEO, Christopher Jones, who will update you on the second quarter and our near-term focus and strategic initiatives; Jeff Vigil, our Chief Financial Officer, who will review our current financial position. Also available on the call is Mark Pelizza, the Senior Vice President of Environment, Safety and Public Affairs. After formal remarks, we will open the call for questions and answers. If you don’t have this morning’s news release, it can be found on our website at uraniumresources.com. As you are aware, we may make some forward-looking statements during the formal presentation and Q&A portion of this teleconference. Those statements apply to future events which are subject to risks and uncertainties, as well as other factors that could cause the actual results to differ materially from where we are today. These factors are outlined in the news release, as well as in documents filed by the company with the Securities and Exchange Commission. You can find those on our website where we regularly post information about the company, as well as on the SEC’s website at sec.gov. So, please review our forward-looking statements in conjunction with these precautionary factors. With that, I’d like to turn the call over to Chris to begin the discussion.
Christopher Jones - President and Chief Executive Officer: Thanks, Craig, and good morning, everyone. We appreciate your time today. Before I begin my comments, I would like to introduce you to Jeff Vigil, our new CFO who joined us in mid-June. Jeff brings significant mining industry and financial management experience with both production and development stage companies. We are extremely happy to have him on board. We made a lot of progress over the last few months in support of our strategic initiatives. I would like to remind everyone of those initiatives, which are reducing costs and conserving cash, preparing Texas assets for production, and moving our New Mexico properties forward for future production. To reduce costs and improve efficiencies, we have closed four offices. The closure and consolidation of our offices resulted in a reduction of our staffing by 15 significantly reducing our general and administrative expenses as Jeff will review later. Many of the decisions involved people and were very difficult decisions, but they were necessary to stabilize the company and to get us back on track to return to production. Also, our consolidation of corporate functions in Denver, Colorado allows us to unite the executive management team in one location. Mining is a significant industry in Denver and provides us the opportunity to tap into and leverage local resources in educational institutions for talent and support. As part of the move, we brought Jeff on board. He is evaluating our accounting systems, IT systems, data collection, and storage so that we can operate more efficiently. As an example, we have moved our extensive data library to our corporate offices here in Denver and now have immediate access to 19,000 logs and files that contain feasibility studies, mining plans and other information on our properties. Previously, this data was in costly offsite storage preventing efficient use of this information. The majority of our current operational focus is on our Texas properties. Our largest project is the Kingsville Dome holding pond project, which is on track to be completed by year end. Once done, we will begin refurbishing our Kingsville processing facility to get it back to production capability. We expect that to take about six months. Importantly, we will then be in a position to resume production activities in Texas by the second half of 2014. The restoration activities at our other project areas are progressing and are targeted for completion during the second half of this year. We have seen some cost associated with these projects rise due to material increases, such as the price of concrete which is required to plug the wells as part of our restoration. However, once done, we do expect our cash burn to decrease. During the quarter, we also completed our renegotiated sales agreement with Itochu. This is an important step in our effort to return to production in Texas. Switching gears to New Mexico, this continues to be a mid and long-term strategic initiative for us as it presents significant opportunities. We have carefully managed our costs in this area and are moving forward with activities that will de-risk our projects. As part of this plan, we are producing 43-101 technical reports for some of the assets in New Mexico. We also continue to negotiate with Navajo and are assessing the remediation costs for the legacy cleanup of the Churchrock Section 17 property. With that, I’d like to hand the call over to Jeff who will discuss our liquidity position.
Jeff Vigil - Chief Financial Officer: Thank you, Chris, and I appreciate everybody joining us on the call. And I appreciate your comments earlier, Chris about joining the URI. I would like to add that I am very enthused about the direction URI is heading and I believe we have a solid team in place to execute our strategies. Looking at our liquidity position, our cash balance at June 30 was $5.3 million compared with $4.7 million at the end of 2012. As we previously disclosed, we were able to release $5.4 million of restricted cash back into working capital in April as a result of a new collateral requirement agreement with the new surety bonds provider in Texas. For the six-month period ended June 30, 2013 the $7.6 million of cash in operations, an increase of approximately $2.4 million from the prior period. Much of this use was driven by timing associated with the working capital and with the work we are doing in South Texas. While our second quarter burn rate increased slightly to $4.5 million, which was an average of $1.5 million per month, a mix of that spend has changed significantly. Our general and administrative expenses were reduced by nearly $700,000 from the trailing first quarter of 2013. These savings were achieved across a wide range of expense line items that make us confident of achieving the savings previously announced. At the end of July, the cash position was $4.25 million. We did not make any sales under the after-market sales agreement during the quarter. And as of June 30, we had a total of $9 million of share value and capacity available for future sales. As Chris mentioned, we have made significant progress and remain committed to prudent cost control and expect to reduce our cash burn rate throughout the remainder of 2013. We believe that our existing cash and the funding available under the ATM will provide the necessary liquidity for 2013. Operator, with that, we would like to open up the call for any questions.
Operator: Thank you. (Operator Instructions) Our first question comes from (Larry Shield) who is a Private Investor.
Larry Shield - Private Investor: Hi, thank you very much. I was curious on the, I believe it was on the Churchrock property, you are going through the renegotiating royalty agreements, how is that coming along?
Christopher Jones: This is Chris Jones, Larry. At this time, we haven’t made any further progress in renegotiating the royalty agreements right now. We have really been concentrating our efforts on our right away agreement.
Larry Shield - Private Investor: Do you expect to begin renegotiating the royalty rates at some point in the future?
Christopher Jones: Yes, I think over these next 18 months I think we can focus back on that.
Larry Shield - Private Investor: Okay, thank you very much.
Operator: Thank you. (Operator Instructions) Our next question comes from Peter Homans from Arthur Wood.
Peter Homans - Arthur Wood: Hello, how are you? Thanks for taking the call. I am curious what the status of the activity vis-à-vis the Navajo Nation in New Mexico is, it seems to me, and correct me if I am wrong, but it seems to me that you are being able to move into Mexico started with the wins and proceeded with your recent ability to have right away to the property itself, but will really be possible once the Navajo Nation having visited sites with you and hopefully becoming more comfortable with in situ mining and your company, etcetera, decides to pretty much open up as economically they need to, both their lands and their willingness to have you mine your lands in New Mexico. Can you tell us if, one, if that’s the right sequence? And two more importantly what is the status and when might you imagine given what you see happening in those conversations, when might you imagine the Navajo to sort of tilt fully in your direction?
Christopher Jones: And thank you very much for your question. In terms of the win on Navajo, I think what is far more important, the progress we have made so far. We do have a temporary access agreement with the Navajo on to our property and we have exercised that agreement by getting our biological, archeological, and land survey guys on and off the property. In addition, our dialogues with the Navajo have continued. I would regard us as making progress without really defining a particular time period under which we’ll get agreement. We have met with the speaker of their – the equivalent of the speaker of their house, the speaker of the council in the Navajo Nation, and in fact, entertained him and his staff in Wyoming on a tour of one of Cameco’s ISR sites. I would characterize that as an eye-opening experience for the speaker and the staff. And he has since requested us to meet with him to discuss geology. So, we regard these as important steps in gaining the confidence of the Navajo and in progressing our permit, but I would hesitate to define a time period under which we will be totally successful.
Peter Homans - Arthur Wood: I didn’t figure – that was a rhetorical question as much as anything else, I didn’t figure that either you knew or you could discuss if you did now, but can you amplify and I appreciate the opportunity to ask one follow-up and this is it? Can you amplify on what you meant by and yes, what you meant by eye-opening experience for the members of (indiscernible)?
Christopher Jones: You bet. I think it’s one thing that describe on paper how ISR works, but it is a terrific experience for people to go see an ISR operation performing in a place like Wyoming which in a lot of ways is similar to the operation we had contemplated, Churchrock. Basically, it’s a quiet well field without large heavy moving machinery and that kind of thing. And I think from the Navajo speaker standpoint, validated what we have been telling them in a way that didn’t require a lot of vision. You could see it right there in the ground.
Peter Homans - Arthur Wood: Could you, without quoting them exactly, just give us a sense of what the nature of what they said in response like, oh, gee, gee, whiz, that’s really neat, oh, that really changes my mind, etcetera, I mean, any characterization?
Christopher Jones: I would hesitate to characterize what they said other than really what I told you that let’s regard it as, however, a very positive experience for everybody involved.
Peter Homans - Arthur Wood: Great, thanks very much. I appreciate it. Sorry for the double question.
Christopher Jones: Not at all. Thank you.
Operator: Thank you. (Operator Instructions) I think you have a question coming from the line of Bryan Bergin from Cowen & Co.
Bryan Bergin - Cowen & Co.: Hi, guys.
Christopher Jones: Good morning.
Jeff Vigil: Hey, Bryan.
Bryan Bergin - Cowen & Co.: Can you discuss what level of production that you are targeting from the pond recovery next year?
Christopher Jones: Actually, the pond recovery production is underway right now. And we don’t have a specific target in mind at this point. As we go through – as I think you have experienced and as you go through the reclamation activity or a stockpile or in this case a pond, we take Uranium, we can get out successfully. And we will have a firm number on how many pounds that was at the end of the year, but I think speculation at this point is bound to be incorrect, if you will, Bryan.
Bryan Bergin - Cowen & Co.: Okay, that’s understood. I guess, obviously, ultimately the goal here for the refurbishment is more for toll milling purposes and then own production down there, is that fair to say?
Christopher Jones: Toll production is included in our thinking, but this is to produce our own uranium from our own well fields.
Bryan Bergin - Cowen & Co.: Okay.
Christopher Jones: Well, thanks Bryan.
Operator: Thank you. (Operator Instructions) We do have a follow-up question coming from Peter Homans from Arthur Wood.
Peter Homans - Arthur Wood: That was quick. I don’t know how closely since you are not in production yet you monitored the spot market, but I was on the Cameco call about a week and a half ago, and it seems that the spot price has come down from the mid 40s to a low of 34.5 down $2 in one week on low volume, but in that week, when it went down $2, there was in Cameco’s explanation about 1.5 million pounds bid for, so a sort of a market clearing price, and since then the price has gone up around $1.5 on spot. I wondered if you monitor spot closely enough or monitor the thinking of your fellow players enough to have a sense of – did that represent sort of a level at which they are real buyers, and do you have an opinion as to whether or not that was kind of a capitulation sale and fear to be followed by an increase now that HEU is going away in December?
Christopher Jones: I think I’d leave those thoughts to the pundits, but what I would like to point out on our particular pricing is that half of our uranium through the Itochu contract will go out at a small discount to spot as we have previously disclosed, yet half of our uranium goes out at a discount to long-term pricing. So, our blended price is halfway in between, if you will the long term and the spot price. So, while we are always interested in the spot price, it doesn’t represent all of our sales.
Peter Homans - Arthur Wood: Right.
Christopher Jones: And I think we also recognize that the spot market itself is a very small portion of the overall market for the metal. And well, it drives a lot of discussion, may not drive economics in quite – and market is quite at a larger proportion.
Peter Homans - Arthur Wood: I would agree. I think that a lot of stock market investors who purport to follow Uranium think the spot market is more important than this. Thank you very much.
Christopher Jones: Thank you.
Operator: Thank you. At this time, we have no further questions. I’d like to turn the call back over to management for closing comments.
Christopher Jones - President and Chief Executive Officer: Thank you very much, Shay. In short, we are executing our plan to position the company to return to production at a time when uranium markets are expected to improve while keeping a keen eye on costs. I want to thank everyone for joining us today and we look forward to the opportunity to update you further on our progress. Have a great day.
Operator: Thank you. This does conclude today’s conference. You may disconnect your lines at this time. Thank you for your participation.